Operator: Thank you for standing by, and welcome to Motorsport Games Inc.’s First Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. As a reminder today’s conference is being recorded. I would like to turn the conference over to Ben Rossiter-Turner from Motorsport Games. Please go ahead.
Ben Rossiter-Turner: Thank you, and welcome to Motorsport Games first quarter 2025 earnings conference call and webcast. On today’s call is Motorsport Games Chief Executive Officer, Stephen Hood; and Chief Financial Officer, Stanley Beckley. By now, everyone should have access to the company’s first quarter 2025 earnings press release filed today after market close. This is available on the Investor Relations section of Motorsport Games’ website at www.motorsportgames.com. During the course of this call, management may make forward-looking statements within the meaning of U.S. federal securities laws. These statements are based on management’s current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Except as required by law, the company undertakes no obligation to update any forward-looking statement made on this call or to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to today’s press release and the company’s filings with the SEC including its most recent quarterly report on Form 10-Q for the quarter ended March 31, 2025, for a detailed discussion of certain risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. In today’s conference call, we will refer to certain non-GAAP financial measures, such as adjusted EBITDA as we discuss the first quarter 2025 financial results. You will find a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures as well as other related disclosures in the press release issued earlier today, which is also available on the Investor Relations section of Motorsport Games’ website at www.motorsportgames.com. And now I’d like to turn over the call to Stephen Hood, Chief Executive Officer of Motorsport Games. Stephen?
Stephen Hood: Thank you, everyone, for joining this conference call today. I am pleased to address you today with our company’s outlook in a much improved state. As previously mentioned that the company was not short of suitors following the public sharing of the message we were considering strategic alternatives. This, along with the hard work undertaken by management to reduce costs and liabilities twinned with the positive progress in sales and player numbers for our early access game, Le Mans Ultimate, meant that the company became a realistic and enticing proposition for investment. As a result of this, we recently announced on April 15 a $2.5 million investment into our resurgent business, led by virtual reality headset manufacturers, Pimax. This investment, coupled with the expectation of continued sales performance of our titles has given our business a significant additional breathing room as we further develop our products and continue to assess and act upon the future potential of our company. Thus far, it also appears to have helped increase confidence in the business on the market with shares trading more than 2.5x higher than the period prior to the announcement of the investment. Net revenues from our Le Mans Ultimate racing title were $0.4 million higher in Q1 2025 versus the same prior year period despite Q1 2024 being the release quarter for the game, which is a positively surprising result. Although total revenues for Q1 2025 were lower than the same period in the prior year, primarily due to the reduction in the back catalog of games we have available following the sale of the NASCAR license. It is pleasing to be growing new revenue growth through the Le Mans franchise, but also through our RaceControl subscription platform. RaceControl was and is a major component of our mission to build owned infrastructure around our gaming titles so that we can elevate the customer experience. Our cash flow from operations has also improved as evidenced by the average positive cash flow from our operations of approximately $0.1 million per month generated by the company during the three months ended March 31, 2025. Future updates for the Le Mans Ultimate game are planned for release soon. On 10th June, we will be bringing teams and driver swap functionality, allowing players to share a car in a live environment. This is a technical challenge, but one we are excited to approach particularly as it ties into our RaceControl matchmaking and service platform, allowing us to take on these challenges with more confidence and ownership than our competitors. Additionally, we’ll be adding the final pack of the 2024 season pass, which has been a great revenue driver for this title. Following this, we have an exciting road map designed in collaboration with our partners at Automobile Club de l’Ouest. The ACO, the organizer of the 24 hours of Le Mans endurance race planned to be announced after our June release, which we confidently believe will excite the games fan base. The business continues to assess new ways of expanding the Le Mans Ultimate audience. It can be expected that the game will be moving from its early access phase into a Version 1.0 or full release this year with more details coming soon. This would be an important milestone and would unlock new sales and marketing tactics that we can employ. Additionally, we have made comments that we are exploring console opportunities by bringing Le Mans Ultimate to PlayStation and Xbox gaming consoles. As we approach Version 1.0, the ability to scope this work more accurately becomes possible. This work continues at pace with discussions underway with multiple potential porting and publishing collaborators, and we hope to have something to announce soon. Development and publishing video games is not our only source of income. Although in recent years, our esports event output has fallen whilst we concentrated on developing the Le Mans Ultimate title, we still intend to revisit the award-winning 24 hours of Le Mans Virtual, which historically brought great attention to our games alongside sponsorship revenue. Our relationship with Kindred Concepts, also known as F1 Arcade is also still live. We license our software to their venues with the fees growing alongside their expansion. There is additional potential for development work to enhance their in-venue experiences as well. As the business reviewed its progress, we believe we are now ready for the next stage of growth. We believe the racing game market is underserved in terms of quality and choice. And now as the successful developers behind one of the defining PC racing simulators in Le Mans Ultimate, we are exploring new opportunities to expand our portfolio to diversify and generate new revenue streams, which have the potential to excite Motorsport and sim racing fans. Now I would like to invite Stanley Beckley, our Chief Financial Officer, to talk about the financial results for the first quarter of 2025.
Stanley Beckley: Thanks, Stephen, and good evening, everyone. As with previous earnings calls, I won’t be offering any forward-looking guidance today. Instead, I will focus on providing an update on our financial results and highlights from the first quarter of 2025. Revenues for the quarter were $1.8 million, down by $1.3 million or 41.9% when compared to the same period in the prior year. The decrease in revenues was primarily due to a $1.5 million decrease in NASCAR-related revenues in 2025. A gaming title, we are no longer authorized to sell starting in 2025. A $0.2 million decrease in our rFactor 2 title, offset by a $0.4 million increase in 2025 from sales of Le Mans Ultimate compared to 2024. Net income for the quarter was $1.0 million compared to a net loss of $1.7 million for the same period in the prior year, an improvement of $2.7 million. The increase in net income is driven by an increase in other operating income of $0.5 million, which represents the amount to be reimbursed to the company for legal fees pursuant to the Innovate Settlement Agreement entered on March 27, 2025, a $1.7 million reduction in total operating expenses, primarily related to headcount reductions in Q4 2024 and a $0.2 million gain from the settlement agreement entered into with Luminis on February 20, 2025. Net income attributable to Class A common stock was $0.33 per share in the first quarter of 2025 compared to a net loss of $0.61 for the same period in the prior year. We are reporting adjusted EBITDA of $0.6 million for the first quarter of 2025 compared to an adjusted EBITDA loss of $1.0 million for the same period in the prior year. The improvement in adjusted EBITDA of $1.6 million was primarily due to the same factors driving the previously discussed change in net income for the first quarter of 2025 when compared to the same period in the prior year as well as a decrease in stock-based compensation compared to the prior year period. As it relates to liquidity, this continues to be a key area of focus for the company. As of March 31, 2025, we had cash and cash equivalents of $1.1 million, which increased to $3.1 million at April 30, 2025, after taking into account the proceeds from the private placement. The increase in cash and cash equivalents was primarily due to $2.35 million in net proceeds from a private placement of our Class A common stock and issuance of a prefunded warrant, which closed on April 11, 2025. During the three months ended March 31, 2025, the company generated an average positive cash from operations of approximately $0.1 million per month. And while it has taken and continues to take measures to reduce its costs the company expects to have a net cash outflow from operations for the foreseeable future as it continues to develop its product portfolio and invest in developing new video game titles. In order to address this liquidity shortfall, we continue to explore several options, including, but not limited to, additional funding in the form of potential equity and debt financing arrangements or similar transactions, strategic alternatives for our business, including, but not limited to, the sale or licensing of our assets in addition to past sales of our NASCAR license and traction and further cost reduction and restructuring initiatives. Thank you all for your time. And now I will turn the call back to Stephen for closing remarks.
Stephen Hood: Thank you again for everyone joining this call today. We are incredibly pleased to have hit this major milestone in receiving our latest investment and remain confident that with our expertise and experiences there will be opportunities to grow this business in the coming years, and we are on the right path to success. I’ll now pass it back to the operator.
Operator: Thank you. And this concludes today’s program. We thank you for your participation. You may disconnect at any time.
Q - :